Tae Hee Kim: Good afternoon. I am Tae-hee Kim, IRO of SK Telecom. Let us begin the earnings conference call for fiscal year 2025. Today, we will first deliver a presentation on the financial and business highlights, followed by a Q&A session. Please note that all forward-looking statements are subject to change depending on various factors, such as market and management situations. Let me now present our CFO.
Jong-Seok Park: Good afternoon. This is Jong-seok Park, CFO of SK Telecom. It is my first time to greet to investors and shareholders as CFO. I wish you a happy new year, and I also wish all of you good health and happiness in the new year. In 2025, SK Telecom put priority on expanding operational improvements across the company and monetizing AI business and made strenuous efforts to strengthen fundamental business competitiveness and secure a foundation for new growth drivers. However, the cybersecurity incident and its subsequent developments also led us to a period of careful reflection, realizing that understanding and innovating on customer value, which is the essence of our business, is a prerequisite for a sustainable future. We will do our utmost to build SK Telecom with strong fundamentals grounded in the trust of our customers. Let me now report on the financial results for fiscal year 2025. Consolidated revenue posted KRW 17.099.2 trillion, down 4.7% year-on-year due to sales of subsidiaries, net decline in subscribers following the cybersecurity incident and implementation of the Accountability and Commitment Program, including tariff discounts. Operating income reported KRW 1.073.2 trillion, down 41.1% year-over-year, on the back of the decline in revenue, costs related to the cybersecurity incident, including USIM replacements, and costs incurred during business restructuring at the end of 2025. Net income came in at KRW 375.1 billion, down 73% year-over-year, mainly due to penalty payments arising from the cybersecurity incident. Let me report on shareholder return. The financial impact of the cybersecurity incident persisted into the fourth quarter and substantial costs were incurred in the process of business portfolio restructuring. As a result, the company decided not to pay out quarterly dividend for the fourth quarter. Accordingly, the Board of Directors resolved to set the DPS for fiscal year 2025 at KRW 1,660 including the quarterly dividends already paid, which will be finalized after being approved at the Annual General Shareholders Meeting in March. We will strive to restore our financial performance to return to previous dividend payout levels. Next, let me report on the current status and future directions of our telecom business and AI business. In 2025, our MNO business focused on addressing changes to the business environment caused by the cybersecurity incident. In 2026, with our priority on customer value innovation, we will strive to adhere to fundamental principles and standards in all areas, including quality, safety and security and to fully regain our customers' trust. We aim to improve our products and channels and achieve operational optimization centered on customer lifetime value to regain fundamental business competitiveness and become the #1 service provider from the customer's perspective. Through this, we will also ensure that our financial performance recovers to previous levels. For AI business, we focused on solidifying a foundation for new growth in 2025. Starting this year, we plan to concentrate on areas where we excel to achieve tangible results. In 2025, AIDC revenue continued a 2-digit growth trend, thanks to the increase in utilization rates of Gasan and Yangju data centers and the acquisition of Pangyo data center. Also, construction of Ulsan AIDC has been underway since September last year. This year, we aim to accelerate growth by actively developing business expansion opportunities through business scale up with an additional data center in the Seoul metropolitan region. We plan to create new possibilities through in-house development and external partnerships for the AIDC solution business, which was launched to create synergies with AIDC business. Also, we will scale up the undersea cable business initiated in 2025. Furthermore, we aim to enhance efficiency and productivity of AI agent business and B2B AI business to produce meaningful outcomes. We plan to secure preferential opportunities to participate in various projects through our own AI Foundation Model Project, which is in its second phase. SK Telecom is determined to improve MNO's business fundamentals by strengthening core competitiveness in all business areas centered on customer value and to restore profitability by producing AI business results driven by AI data centers. We ask for the continued support and interest of our investors and analysts as we work to turn this crisis into an opportunity to restore our customers' trust. Thank you.
Tae Hee Kim: Now we would like to begin the Q&A session.
Operator: [Operator Instructions] The first question will be provided by Jae-min Ahn from NH Investment & Securities.
Jae-min Ahn: I'm Ahn Jae-min from NH Investment & Securities. I can see that we now have new CFO, COO as well as IRO. So there are new members to the management. And I believe that the market has high expectations upon this change. And so congratulations to all of you, and I hope that there will be good results coming from this management this year. I'd like to ask you two questions. The first question is that we would like to get some color on our dividend policy for 2026. Last year, due to some sluggish business performance, the size of the dividend payout to shareholders was reduced. So what can we expect in terms of dividend payout for 2026 as well as the possibility of earnings normalization? And my second question has to do with the overall strategic directions and priorities for the new management this coming year.
Jong-Seok Park: Thank you for your questions. First, I'd like to answer your question on this year's earnings outlook as well as dividend payout direction. First of all, to comment on 2025 earnings performance, I understand that many people would like to know whether we can return to the pre-cybersecurity incident earnings levels. Due to sales of certain noncore subsidiaries and decline in MNO subscribers, revenue did not recover to the 2024 levels. However, in terms of operating income, we aim to return to the 2024 level as much as possible by improving profitability of the telecom business and improving self-sustainability of the AI business. We will utilize AI across the telecom business, including marketing and network, to boost productivity and improve profitability. Also, we plan to focus on striking a balance between cost and benefit when it comes to subscriber acquisition. For AI business, we plan to continue to focus on areas where we can make meaningful earnings contribution. In particular, we will pursue meaningful expansion of data center business to create new revenue streams and improve profitability through economies of scale. Now let me comment on the dividend payout outlook in connection to earnings expectation. First of all, we sincerely apologize to our shareholders for not being able to pay the yearly and year-end dividend in the fourth quarter following the third quarter. The cybersecurity incident has had direct financial impact and one-off costs were incurred in the process of restructuring our business portfolio and organization in 2025. Please understand that we had to reduce the size of the annual dividend payout for these reasons. Our number one priority in 2026 is to restore earnings through the measures that I mentioned earlier, and we will do our best to return the previous dividend payout levels. We will also consider other measures to increase shareholder value such as tax-free dividend to restore the trust of our shareholders and investors and to ensure that SK Telecom is a company that people want to invest in. More details will be discussed at the Board in consideration of business performance, financial positions and funds for growth investments to achieve a balance in overall capital allocation. Now I'd like to comment on the key strategic priorities for the new management. So our priority for this year is to strengthen practical and substantial competitiveness in both telecom and AI business. And for this, we plan to pursue three main strategic directions: first of all, restore market leadership through customer value innovation. We will place priority on customer value, which is the essence of our business, based on which we are currently redesigning all elements of our telecom business including products, memberships and channels to offer real value that customers want. We will share more details in the future. Second, we will innovate business productivity through A.X acceleration. We will apply AI in all areas including marketing, network and customer touch points to improve customer experience and boost productivity. We will advance AI-based lifetime value modeling to provide personalized offerings and to use AI to automate network operations including design, construction and operation. Third, we will enhance sustainability of our AI business by focusing on our core strengths. We will pivot according to changing business environment to focus on areas where we excel and improve profitability through cost structure improvement. AI data centers are already a strong growth driver for SK Telecom. We will quickly build the Ulsan AIDC and plan to add another data center in the Seoul region to scale up the AIDC business and create new business models to offer diverse solutions related to AIDCs. So to sum up, we will focus on strengthening core business competitiveness in all business areas centered on customer value and demonstrate how SK Telecom will make another leap forward.
Operator: The following question will be presented by Tae-hyun Kim from IBK Investment & Securities.
Tae Hyun Kim: I am Kim Tae-hyun from IBK Investment & Securities. I would like to ask two questions. First of all, there's a lot of interest in the market about the value of the equity stake that you have in Anthropic. And I would also like to understand whether you're planning to liquidate your equity stake going forward. The second question has to do with your proprietary foundational model project. What is the strength that SK Telecom has in this regard? And what are some of the potential business opportunities we can expect going forward?
Jong-Seok Park: Thank you for your questions. I'd like to answer the first question on our equity stake in Anthropic. And then the Head of AI Strategy Planning will address your second question on our own foundation model project. First, let me comment on the current status and future plans regarding our equity stake in Anthropic. First of all, please understand that we cannot disclose accurate details on shareholding ratio and value at the time of change due to confidentiality clauses in the contract. However, our invested assets are regularly revalued and reflected in the business report. So the 2025 business report to be disclosed very soon will have updates on our equity stake. We understand that the market is quite interested in a possible equity disposal or equity valuation, but please understand that no decisions have been made in this regard, and there's nothing that we can share at this point in time about the possibility of using it as part of funds for dividend. Now I'd like to hand over to the Head of AI Strategy Planning to comment on the second question.
Dong-hee Choi: I'm Choi Dong-hee, Head of AI Strategy Planning. Let me answer your question on our competitiveness in the foundation model and business opportunities. The A.X K1 that SK Telecom is developing together with the consortium members is Korea's first hyperscale AI model with more than 500 billion parameters. This model is recognized as possessing differentiated competitiveness as it can provide high-quality responses in consideration of cultural context because it is developed using the largest Korean data set. We expect that A.X K1 will create a lot of business opportunities for both B2C and B2B business. For B2C, we plan to add the model to A., which has more than 10 million users, to ensure that a large number of customers can access the model. We also plan to add references through Liner, a member of the consortium. For B2B, we plan to add this model to A. Biz for work productivity enhancement and provide a model to our manufacturing affiliates, such as SK hynix and SK Innovation, to strengthen their competitiveness. Within the consortium, we plan to expand the use of the model to vertical services such as KRAFTON. We will continue to develop this hyperscale model in a cost-effective manner with government support. If we are selected as 1 of the top 2 at the end of 2026, we expect that we can secure preferential opportunities to participate in various projects, such as national B2C projects to maximize benefits of AI, AX projects to enhance industrial competitiveness and productivity and projects to upgrade systems and services in the public sector.
Operator: The following question will be presented by Hoi-jae Kim from Daishin Securities.
H.J. Kim: I'm Kim Hoi-jae from Daishin Securities. I'd like to ask you two questions regarding your MNO business. Due to the waivering of cancellation fee recently by your competitor, I can see that there was some impact on your business results. For instance, LG U+ has demonstrated that they have seen an increase in their MNO subscriber base as well as MNO revenue in 2025, thanks to this development. So I'd like to understand to what extent you benefited from this trend for SK Telecom as well. And I'd also like to understand your subscriber target for 2026 as well as MNO revenue outlook. My second question is that you have now new members in the MNO management as well as the company management. So what will be the key areas that you will focus on in your MNO business in 2026?
Jong-Seok Park: Thank you for your questions. Regarding your two questions on the MNO business, I'd like to turn over to our Head of MNO Support.
Byeong Chan Bai: I am Bai Byeong-chan, Head of MNO Support. Let me address your questions on the impact of KT's cancellation fee waivers as well as our win-back target for 2026. With the cancellation fee waivers by our competitor, the carrier switching market expanded temporarily in the beginning of the year. However, since then, we are seeing an overall market stabilization trend. A large share of customers who joined SK Telecom during that period were voluntary win-back customers who returned after having switched to another carrier last year following the cybersecurity incident. We believe that the customer appreciation package that includes substantial benefits such as subscription tenure, restoration and membership benefits as well as diverse measures to strengthen our security has been effective in restoring the trust of our customers. Going forward, we will not rely on disruptive marketing competition for short-term gains, but rather focus on strengthening core business competitiveness through customer value innovation to continue to expand our customer base. So to this end, we are currently working on restructuring our product offerings and market operations. And as soon as they are ready and become available, we will share more concrete directions and results with the market and our subscribers. Now let me comment on our MNO revenue outlook for 2026 and strategies to recover our subscriber base. We have started the new year under rather challenging circumstances due to the year-over-year decline in handset subscribers. And throughout 2026, we will strive to minimize revenue impact by winning back subscribers and implement various measures to create growth by developing new customer segments. However, despite these measures that we have in plan, with the prolonged impact of customer attrition, it is challenging to bring revenue back to the pre-cybersecurity incident level. So for MNO business this year, we plan to focus on boosting profitability. We will reorganize our products and channels to cater to customer preferences and improve cost efficiency through optimized operations based on customer lifetime value. In addition, we will use AI to further improve our operations including products, marketing and network operation and create a productivity-based business structure to enhance customer value and maximize performance relative to input. So through these efforts in 2026, we aim to restore the profitability of the MNO business and build a structural foundation for medium and long-term growth.
Operator: There are no questions in the queue right now.
Tae Hee Kim: With no further questions, we would like to conclude the earnings conference call for 2025 for SK Telecom. If there are additional inquiries or questions, please feel free to contact IR. Thank you. [Statements in English on this transcript were spoken by an interpreter present on the live call.]